Jacob Lund: Good morning and welcome to Investor's Results Call for the Fourth Quarter and Full Year 2024. I am joined here today by our new CFO, Jenny Ashman Haquinius; warm welcome to you, Jenny; and our CEO, Christian Cederholm. Both will soon give their presentations. And after that, we will be opening up for questions, both on the call via our operator and online. And with that, over to you, Christian.
Christian Cederholm: Thank you, Jacob. And hello everyone, warm welcome. Let me start with a brief summary of the full year before jumping into the fourth quarter. Net asset value grew by 20% and Investor B returned 27%. This compares with 9% for SIXRX. All 3 business areas contributed to our NAV growth in '24. Our portfolio companies generally performed well in a quite demanding environment, delivering profitable growth and cash flow. Also, they've invested significantly to future-proof their business both through organic initiatives but also M&A. We continue to push for accelerated use of data and AI to enhance efficiency and customer value. Investment activity has been high and we've invested across all 3 business areas during the year, including investments in Ericsson, add-on acquisitions in Patricia Industries and gross investments into EQT funds. Supported by positive cash flow from all business areas and a strong balance sheet, the Board has proposed a dividend of SEK5.2 which represents an increase of 8% versus last year, in line with our ambition to pay a steadily rising dividend. Let me move now to the quarter. At the end of Q4, our net asset value stood at SEK970 billion. This represents a decrease of 2% in the fourth quarter and a total return on our B share of minus 6%, same as for SIXRX return during that period. Let me briefly go through the 3 business areas, starting with listed companies which represents about 70% of our portfolio. Total return was minus 4% in the quarter with mixed returns in individual companies. As usual, the companies have been active, both delivering here now but also investing for the future. AstraZeneca, as an example, committed to US$3.5 billion investment in the U.S., its single biggest market. The investments include the R&D center in Cambridge, Massachusetts and a next-generation biologics factory in Maryland. I had the pleasure of meeting with the CEO of Alexion, AstraZeneca's Rare Disease arm in Boston in November. I was very impressed with the development of both the existing treatment and the future pipeline, of course, to the benefit of patients around the world. David Meek has been appointed new chair of Sobi and Torbjörn Lööf was nominated the new chair in Husqvarna in addition to his current position as chair in Electrolux. More broadly, we've seen good activity level in a number of nomination committees. If I move to Patricia Industries then, total return for Patricia Industries was 6%, including cash, with good underlying earnings growth and also some significant tailwind from the strong U.S. dollar especially towards the end of the quarter. Our major subsidiaries grew sales organically by 3% and underlying EBITDA by 11%. While, for example, Laborie and Mölnlycke contributed to growth in a nice way, BraunAbility and Atlas Antibodies both had a tough fourth quarter with weak demand in their respective end markets. Innovative products continue to drive growth for several companies, including Optilume for Laborie that we mentioned before. We've seen no major add-ons during the quarter but activity continues to be high. And other acquisitions is and remains an important complement to organic growth and a great way to add people, products, technologies or enter new markets. Strengthening of the Board has happened in several companies and we have announced a new chair in Vectura. For the full year then, organic sales ended at 6% for the Patricia subsidiaries and underlying earnings grew by 9%. If I turn to Mölnlycke specifically, they reported 8% organic growth in the quarter with all business areas and all major regions contributing. The EBITDA margin was up about 1 percentage point supported not the least by growing sales and foreign exchange. Wound Care grew 10% with growth in all regions. And encouragingly, products from prevention of pressure ulcers, including dressings and turning and position solutions continued to grow well. In the quarter, Mölnlycke also announced a strategic minority investment in a U.S.-based company called Siren which focuses on innovative solution for prevention of diabetic foot ulcers. ORS grew 3% organically, primarily helped by a good development in Trays. And Gloves continue to grow supported by strong growth in the Middle East and a stable U.S. market. On a reported last 12-month or rolling 12-month basis, sales and EBITDA, including here, our 40% in 3 Scandinavia, grew and ended at north of SEK66 billion in sales and north of SEK16 billion in EBITDA. Investment in EQT then, our third business area which represents about 10% of our portfolio. Here, in Q4, the value change was minus 5% in total which was driven by the decline in EQT AB, the listed share, while the fund performance was up. As you know, our performance or valuation in funds are reported with a one quarter lag. We could see this morning in EQT's result that the fund performance in Q4 continued to be strong. Investment activity has remained high and several exits have been made, too. 1/3 of the Q4 fund proceeds related to partial exits in Galderma and Idealista as two examples of exit activity. It was a strong year for fund raising overall as well for EQT. So to summarize, we have a strong platform and a clear strategic direction. To continue to deliver on this, we focus relentlessly on performance, portfolio and people. Performance, as you know, is about profitable growth here and now and investing appropriately to future-proof our businesses. Portfolio is about making sure we're investing in strong companies in attractive industries. And people; this is about attracting and retaining great people to investor and to our companies to drive performance and transformation over time. If we do this well, we will be able to deliver on our 3 strategic priorities which is to grow net asset value to pay a stable, rising dividend and to deliver on our ESG targets, all in line, of course, with our overall purpose which is to create value for people and society by building strong and sustainable businesses. With that, I'd like to leave over the word and point you to Jenny.
Jenny Haquinius: Thank you so much, Christian and good morning, everyone. In Q4 2024, adjusted net asset value was SEK970 billion. This implies a decrease of 2% compared to Q3. However, looking at the full year, net asset value grew 20% compared to SIXRX of 9% for the same period. Looking more closely at the quarter, performance was mixed across our business areas, a positive 6% return for Patricia Industries, while we saw a decline in listed companies and investments in EQT. However, again, looking at the full year, we see that all business areas contributed to the strong growth of 20%. And now I will comment more specifically on each of the business areas starting with listed companies. And within listed companies, share price performance was mixed. Highlights include Ericsson, Nasdaq and SAAB, while some of our larger companies had a weaker share price development in the quarter. Nevertheless, total return was a negative 4%, so still outperforming SIXRX which was a negative 6%. And if we look at absolute contribution, it paints a similar picture. But of course, with Atlas Copco has the biggest negative impact on net asset value, given the weight and the size in our portfolio. Moving on to Patricia Industries. We saw 6% growth in estimated market values compared to Q3, so from SEK225 billion to SEK239 billion, including cash. Currency is the biggest value driver and that's explained by a weaker Swedish krona in relation to U.S. dollar, in part boosting earnings but also from translation effect in valuation. However, the value increase was also underpinned by growth in earnings, while somewhat offset by a lower valuation multiple. And looking at operating performance in the companies to highlight a few things, most companies reported good growth with significant contribution from new and innovative products. For Laborie, we continue to see good growth from Optilume products launched in 2022 and late 2023 and from Mölnlycke, as Christian already mentioned, we continue to see good progress in products for pressure ulcer prevention. BraunAbility and Atlas Antibodies had a tougher ending to the year mainly due to weaker market demand. Margins held up well overall and were supported by operating leverage while somewhat offset by continued OpEx investments to ensure sustainable and profitable growth long term. Looking at value development across companies, we see North American companies in the lead, in part explained by currency as mentioned earlier. Worth highlighting is the capital contribution made to Vectura of SEK342 million to support ongoing project developments and also a second distribution from Mölnlycke for 2024 which was SEK3.5 billion in the quarter. And then finally, on to investments in EQT. The total value change was negative 5% in the quarter and that was driven by the weaker share price performance in EQT AB, while the value of our fund investments increased 5%. On the right-hand side, we illustrate the net cash flow from EQT to investor which was positive with SEK1 billion in the quarter as the sum of dividend and proceeds were larger than drawdowns. As highlighted by Christian, we have a proven business model and a clear strategic direction and to deliver on our strategy and strategic priorities, financial flexibility is key. We have 3 business areas, all of which generate cash flow to support investments and a steadily rising dividend to our shareholders. From listed companies, we received ordinary as well as extraordinary dividends. In Patricia Industries, the portfolio companies generate cash flow which can be reinvested in the companies or paid in distribution. And for investments in EQT, we have an ownership in EQT AB which yields an annual dividend as well as fund investments where cash flow is, by definition, lumpy and dependent on drawdowns and exits but remains a strong contribution to cash flow over time. And from listed companies, we've received SEK97 billion in ordinary dividend since 2015. And on top of that, an additional SEK8 billion in extraordinary dividends and redemptions. The ordinary dividend received has grown with 8% on average per year. In Patricia Industries, we have a strong growth in EBITDA across major subsidiaries and these companies also have a very strong cash conversion. So this translates into cash flow that can be reinvested in the businesses or paid a distribution. For EQT, as already mentioned, net cash flow is inherently more lumpy but looking since 2015, the average annual net cash flow from EQT to Investor has been north of SEK2 billion per year. So this platform with 3 strong business areas provides a broad-based cash flow that supports continued growth and distributions after management cost and financial net. The incoming funds provide strong investment capacity and have been deployed across all of our 3 business areas. And as mentioned by Christian, we've invested in 2024, roughly SEK10 billion and on top of that, an additional SEK5 billion financed by Patricia Industries companies through cash and debt. While sustaining high level of investment activity, more than 50% of incoming funds have been distributed to shareholders. So that's a total of SEK100 billion in 2015 and we have continuously delivered on our commitment to pay a steadily rising dividend. The average annual growth has been 9% during the past 10 years. The dividend proposal for 2024 is SEK5.20 per share which is an increase with SEK0.40 per share compared to 2023. And as you know, our balance sheet remains strong, supported by value creation and underlying cash flow. Leverage was 1.2% in the quarter, in the bottom end of our policy range and we have a strong rating by both Standard & Poor and Moody's. Our average debt maturity is roughly 10 years and we have no repayment due until 2029. On to my last slide. Here, we illustrate average annual total return for the Investor B share and we are concluding that the Investor B share has beaten our internal return requirement which is highlighted in orange, as well as our benchmark index SIXRX in the short term but also in the long term. And with that, I will leave the word back to Jacob.
Jacob Lund: Thank you very much, Jenny. Thank you, Christian. At this point, we are now ready to take your questions and we will start with the questions through our operator. Sonya?
Operator: [Operator Instructions] And the first question comes from the line of Linus Sigurdson from DNB Markets.
Linus Sigurdson: Starting with a question on Mölnlycke. Is there anything we should be mindful of, if you look at the slightly higher CapEx, slightly lower working capital contribution here in Q4 versus more just a reversal from high contribution last year?
Christian Cederholm: I could take that one. There is nothing that we're choosing to comment on in terms of the cash flow and it is, as you point out, a bit lumpy quarter-by-quarter but we remain focused on -- and are convinced that we can generate a good cash conversion over time in Mölnlycke.
Linus Sigurdson: All right. And then if you look at EQT today, I mean, the impression is that exit markets are obviously in a good place. But if you think about it from your point of view or from a Patricia Industries point of view, what can you say about the acquisitions that you're looking at, whether it's add-ons of new platform, do you still see attractive opportunities there?
Christian Cederholm: Absolutely. I would maybe moderate the comment on the exit market. I think that while exit activity in EQT has been high during the end of the year, as pointed out in the report, if we look at it from a proceeds perspective, it is still on a relatively low basis in a historical context. That said, your other question on our investment pipeline, we certainly see that there continues to be a healthy pipeline for add-on investments and we continue to be open for and scout for new platform acquisitions as well. And we have seen no significant change in terms of market sentiment in the last quarter, I would say. But Jenny, would you like to chime in?
Jenny Haquinius: No, I think that's a comprehensive response.
Linus Sigurdson: Okay. And then my last question. I mean, you're talking in the report about the potential impact on global trade policy in 2025. Could you just talk a bit more about how you're working to navigate sort of different scenarios or levels of tariffs across your companies?
Christian Cederholm: Thank you. It's a great question. And obviously, there is a lot of movement in that area at the moment. I think, first and foremost, it's too early to tell where things will end up. But this is something that is high on the agenda in all companies, I would say and importantly, has been high on the agenda for a number of years. I mean, tariffs is one part of it but you also have the other geopolitical instability, including, unfortunately, war in a number of regions as well as, for example, the learnings from COVID, where supply chain resilience sort of came out as something that we need to work on. So it is high on the agenda. It has been high for some years. And really, the answer and the solution will depend on which company and which situation we're in.
Operator: The next question comes from the line of Derek Laliberte from ABG Sundal Collier.
Derek Laliberte: I'd like to start out with Permobil. It seems the margin was a bit on the low side here and you mentioned some one-offs, I wonder if you could provide what the adjusted margin was like in the company?
Christian Cederholm: Thanks. You're right, we've chosen not to specify how much, call it, extraordinary cost we had in this quarter. But since we pointed out, you can assume it is, let's say, a significant share of the decrease.
Derek Laliberte: Okay, great. And on Sarnova, you mentioned there is weaker demand within cardiac response here. Is that driven by sort of high inventories and distributor destocking in the market? Or is it something else driving that lower demand?
Jenny Haquinius: Yes. Thank you for the question. And you are right. In 2023, there was a spike in demand as well as supply chain challenges. So that led to stock build and now during 2024 we've seen a market correction with inventories being reduced.
Derek Laliberte: And on BraunAbility, also relating to demand. I wonder if you could pinpoint the reason for this in Q4 because there seem to have been a pretty big dip there.
Jenny Haquinius: I can start. Yes, it was a challenging quarter for BraunAbility, as you mentioned. And it's due to weaker market demand due to an inflationary U.S. which impacts both, the end user and dealers.
Derek Laliberte: All right. And finally, on 3 Scandinavia, here I might have missed something but the sales are down but service revenue is up. So just wondering what the reason is for this and also why the margin is down so much in the Swedish market?
Christian Cederholm: So, thank you. The difference between the total sales and the service revenue is basically number two -- or due to a number of factors, one of the largest being handset sales. So the service revenue is sort of the value add from 3. And then we have chosen not to comment on the margin per country more than showing it.
Operator: And the next question comes from the line of Jacob Hesslevik from SEB.
Jacob Hesslevik: My expertise is on EQT. So a question on this topic, if I may. How does it work when EQT increases fund size from a target size to a hard cap? So BPEA IX new target is US$2 billion higher than it reported in Q3. Does that mean you will keep your percentage on the higher target? Or what is your investment strategy in these cases?
Christian Cederholm: I can start and Jenny, feel free to chime in. So normally, what we do is we invest about 3% in the funds that we see fit with our strategy and meets our return requirements. We can, as we said before, invest up to 3% on a carry free basis. And normally, it is exactly as you allude to, that we lock in or sort of we commit a percentage and then we have a hard cap. We can sometimes have a hard cap on our commitment as well. But normally, when, let's say, the movement up to hard close is small to moderate, our commitment moves with that. Does that answer your question?
Jacob Hesslevik: Yes, slightly. So should we then expect you not to reach 3% in BPEA IX given US$2 billion increase is quite a significant uptick.
Christian Cederholm: No, I think you can assume that we reach 3%.
Jacob Hesslevik: Okay, that's clear. And then second, if exit activity is picked going forward for EQT, how do you expect to allocate this additional cash flow into the new EUR 100 billion fund cycle that EQT is launching or rather in the listed or the Patricia portfolio?
Christian Cederholm: So the way we see it is that we have, as Jenny pointed to, we have 3 business areas, all generating positive cash flow over time. And it's not so that whatever comes out of EQT needs to go into EQT but we have the freedom to allocate between the 3 business areas. To answer your question on redeployment into the next fund cycle, the answer is yes. We will continue doing that as we've done before, of course, on a fund-by-fund basis but that's our general direction.
Operator: And the next question comes from the line of Oskar Lindstrom from Danske Bank.
Oskar Lindström: Yes. A couple of questions on organic growth in different parts of Patricia. Starting off in Mölnlycke, another quarter here with a good sort of high single-digit organic growth. And you mentioned, especially the postop and prevention assortments. What's driving this sustained high growth? And is this sort of temporary factors? Or is it -- you believe it's sustainable going into 2025 and beyond? That's my first question. And then a similar type of question on Optilume which has grown around 20% throughout 2024. And I mean, I realize it's connected to the launch here -- sorry, it's Optilume that has driven the higher growth, of course, in Laborie. But should we expect that to continue into 2025 at this rate? So 2 questions there.
Jenny Haquinius: Yes, I'll start and you can chime in, Christian. And first of all, we don't provide guidance but we can provide some flavor. So in terms of Mölnlycke, we see a solid momentum, especially within Wound Care and that's on the back of growing markets but also initiatives such as geographic expansion. Examples include Asia and Middle East and in combination with having a very competitive product offering, as Christian mentioned, pressure ulcer prevention is one example and then also a clear go-to-market strategy. So the combination provides for a good growth momentum.
Oskar Lindström: But nothing special which sort of impacted in 2024?
Jenny Haquinius: No.
Christian Cederholm: Excellent execution, I think.
Jenny Haquinius: Yes. And on Laborie, as you pointed out, a strong quarter with growth driven by the quite recently launched Optilume products. And we remain optimistic of growth, that Optilume products will remain, contribute to growth going forward. But over time, benchmark quarters will, of course, become more challenging. But given the current performance in Laborie, we are optimistic about growth going forward. Do you want to add?
Christian Cederholm: No.
Operator: As there are no further questions on the phone lines, I would now like to hand back to Jacob for any questions on the webcast.
Jacob Lund: Thank you, Sonya and thank you for the questions. Let's then take questions from the web. And there is some overlap, I see, in some of the questions but Alexander Ripe [ph] has one question. What is the split between currency and operating performance for the 6% performance of Patricia Industries, please, Jenny?
Jenny Haquinius: Yes, we do not comment on the split specifically. But as we alluded to in the presentation, the 6% growth is primarily driven by currency and that's the strengthening of the dollar but we do also see a positive contribution from underlying earnings growth in the companies.
Jacob Lund: Good. And then we have another one from Mikael Gilkins [ph]. Do you view -- and this is somewhat related to U.S. question but in a slightly different context. Do you view the more structural favorable backdrop of the United States as a reason to focus future metal allocation more on region as opposed to the European continent?
Christian Cederholm: We don't provide guidance. I think we're willing and eager to deploy capital in all regions and in all our 3 business areas, as we said before. That said, the U.S. is a great market with lots of really strong companies. There is a breadth and depth to the market that is outstanding. And we have a great team on the ground there. So we hope to be able to continue growing the companies we have and potentially adding new platform companies as well.
Jacob Lund: Thank you. I can't see any further questions and that means that it's time to conclude. Many thanks, Christian and to you also, Jenny. Next scheduled call is our first quarter results which are scheduled for April 23 and we will be back at our normal premises at Arsenalsgatan in Stockholm and until then, thank you and goodbye.
Christian Cederholm: Thank you.
Jenny Haquinius: Thank you.